Operator: Good day, and welcome to the Exela Technologies First Quarter 2019 Financial Results Conference Call. All participants will be in a listen-only mode. [Operator Instruction] After today's presentation, there will be an opportunity to ask questions. [Operator Instruction] Please note this event is being recorded. I would now like to turn the conference over to Jim Mathias, Vice President of Investor Relations. Please go ahead.
Jim Mathias: Thank you, Lindsay. Good afternoon everyone and welcome to the Exela Technologies first quarter 2019 conference call. I'm joined here today by Ron Cogburn, Exela's Chief Executive Officer; and Jim Reynolds, our Chief Financial Officer. Our agenda for today's call is as follows: Ron will provide an overview of our first quarter results and update you on our strategies. Jim will then discuss our financial performance in greater detail. We will then take your questions. Today's conference call is being broadcast live via webcast, which is available on the Investor Relations page of Exela's website investors.exelatech.com. A telephonic replay of this call will be available until May 16th of this year. Information to access the replay is listed in today's press release, which is also available on Exela's Investor Relations website. During today's call, Exela will make certain statements regarding future events and financial performance that may be characterized as forward-looking under the Private Securities Litigation Reform Act of 1995. These forward-looking statements are subject to known and unknown risks and uncertainties and are based on current expectations and assumptions. We undertake no obligation to update any statements to reflect the events that occur after this call, and actual results could differ materially from any forward-looking statements. For more information, please refer to the risk factors discussed in Exela's most recently filed periodic reports on Form 10-K, along with the associated press release and the company's other filings with the SEC. Copies are available from the SEC or the Investor Relations page of Exela's website. During today's call, we will refer to certain non-GAAP financial measures. We believe these non-GAAP measures provide additional information on how management view the operating performance of our business. Reconciliations between GAAP and non-GAAP results we discuss on today's call can be found on the Investor Relations page of our website. During today's discussion, please refer to our press release and investor fact sheet, which are accessible on the Investor Relations page of our website, investors.exelatech.com. In combination with today's discussion, we believe our press release and our expanded fact sheet results in a more efficient review for our stakeholders, and as a result, we do not believe slides are necessary going forward. We will now begin by turning the call over to our CEO, Ron Cogburn. Ron?
Ron Cogburn: Good afternoon, and thanks everyone for joining us today. As Jim just mentioned, I hope by now you've had the opportunity to review our quarterly materials available on our Investor Relations website. We are pleased with the solid first quarter results and we're excited about the remainder of 2019. On a constant currency basis, our revenue of $410 million, grew 4% year-over-year and adjusted EBITDA of $75 million grew 8% year-over-year. Our first quarter adjusted EBITDA margin was 18.3%, an increase of 60 basis points from 17.7% in Q1 of 2018. The improvement in margin validates the path that we are traveling to transform businesses through our automation as we get the benefits of executing our remaining cost savings initiatives. Growth was backed by our growing and profitable pipeline and the continued ramp of our existing customers. Our Digital Now strategy continues to win business by leveraging our best-in-class technology and support services. Our goal is to continue to accelerate the digital transformation of our customers through expanding engagements across multiple layers and to be their technology and business process automation partner. As we continue to grow and service our new and existing customers, we have seen an acceleration in our initial costs associated with these wins. As a result, we have added to our employee base and have seen an increased use of working capital. These trends should reverse in the back-half of the year. Further, we continue to exit lower margin contracts where customers do not have a path going forward toward automation. On a sequential basis, we expect revenue to be similar to Q1 and improve materially in the third and fourth quarter. Accordingly, based on our current pipeline, we are reaffirming our 2019 outlook. As I mentioned a moment ago, we added to our employee base due to these wins. At the end of this quarter, our total headcount rose to 22,976, as a result of adding 929 FTEs. Our customer awareness is rising and their solutions are well received. This year Exela was ranked number 18th on the Everest Group BPS top 50 list, improving from number 22 last year and from number 35, the year before. With our digital solutions, we have posted consistently strong scores for market impact, vision and capability across multiple categories such as F&A digital augmentation suites, banking digital capabilities platforms, healthcare process automation and P&C insurance services. In executing our strategy, working to accelerate the digital transformation of our customers, we are making significant progress on our savings initiatives that we have identified throughout the organization. We expect to execute on a material portion of our remaining $56.4 million and identified savings during the remainder of 2019, which is detailed in our fact sheet. Digital transformation and execution of our initiatives will drive the future convergence of adjusted EBITDA to EBITDA. In early April, we launched Exela's Smart Office. We're excited to bring the Internet of Things to the workplace. In conversations with our customers, there is an increased demand for automation and enhanced user experience, utilizing our integrated technology products, Smart Office was created to improve the overall user experience. We believe it represents the next wave in workplace optimization. With Smart Office, Exela can work with customers to interconnect previously disconnected technologies to better suit the modern office environment. The offering can transform the front office, energy and facilities management, logistics and fulfillment and provides on-demand services with connected devices to facilitate green initiatives and to reduce waste. The solutions included in Smart Office are supported by a single sign-on capability, which helps visitors to accelerate registration and increased visibility to workflows and compliance. Exela's business process automation continues to drive favorable revenue per FTE. Now I want to take a moment and briefly cover some of the annual statistics that we discussed on our Q4 2018 call in March of this year. From 2017 to 2018, we increased our revenue per FTE by 11% on an organic basis to $73,000, at 9% on an actual basis to $72,000. With 2018 revenue per FTE of $72,000 and as the composition of our workforce evolves, I believe a few longer term trend should also be continued or followed. For example, in the Americas, automation provide to processes drives higher efficiency and throughput, which enable headcount reductions. As Exela ramps enterprise contracts such as the global bank contract I mentioned earlier this year, implementing our automation enables workers to do more. In Europe, we see a great opportunity to continue to grow our footprint and our revenue. Looking at the rest of the world, we have a global delivery model that is driven by automation. On a geographic basis, the global model enables us to be location-agnostic, which benefits our customers and provides us with the opportunity to drive toward an optimal cost structure. I want to review a few customer and revenue metrics we refresh on an annual basis as well, that we believe are essential in tracking Exela's progress and execution. We have a diverse revenue base with our top 20 customers representing 36% of our revenue, the top 100 represent 61% of our revenue, and our top 200 customers represent 73% of our 2018 revenue. With high customer retention, our diverse revenue base provides us with top-line visibility as well as significant opportunity to add additional statements of work to existing customers. At the end of the first quarter, 83% of our revenue is now found in the Americas and 17% was from Europe. In the past, we have discussed our strategy to increase wallet share within our existing customers. At the end of 2018, we had 10 customers generating $25 million in annual revenue, an increase from $6 million at the end of 2017. We also added 62 customers generating over $1 million, reaching a total of 259 customers. Both increases in the $25 million and $1 million customers demonstrate the effectiveness of our efforts to grow within our existing customers and gain wallet share. Now here's an update. During the first quarter of 2019, we have two existing customers, which are now expected to generate over $25 million in additional annual contract value. And we have five customers, existing customers now expected to generate over $1 million in additional annual contract value. These customers are in the largest and growing industries that we serve, which are banking and financial services and healthcare. When I look at our pipeline and the ACV, we are adding I expect these positive trends will continue. We are off to a great start in 2019. The team is focused on transforming pipeline into revenue and we are working with our customers on their digital transformations. And now, I would like to hand the call over to Jim Reynolds, who will discuss our financial results in greater detail. Jim?
Jim Reynolds: Thanks, Ron. First quarter revenue totaled $403.8 million compared to $393.2 million in Q1 of 2018, an increase in 2.7%. On a constant currency basis, revenue was $409.8 million, an increase to 4.2%. Looking at revenue by geography, our revenue mix was 83% in North America and 17% in Europe, this compares to 90% in North America and 10% in Europe in Q1 of 2018. Moving for our segments. Revenue for our ITPS segment was $324.6 million, an increase of 4.1% year-over-year driven by ramp up of contracts using our Digital Now model and the impact of growth investments. Our growth in ITPS was negatively impacted by exiting certain low margin contracts and currency headwinds of approximately $6 million on a year-over-year basis. Our Healthcare Solutions segment grew 4.6% on a year-over-year basis, totaling $61.3 million, up from $58.6 million in the first quarter of 2018. The quarterly results in healthcare were consistent with our expectations. Our Legal and Loss Prevention segment revenue or legal decline 21.2% on a year-over-year basis to $17.8 million. We had a few large projects that were active in the first half of 2018 that settled mid-year and have not been able to replace. Results in legal are event-driven and project base and can cause our revenue to be lumpy between quarters. Gross margin for the first quarter was 24% compared to 25.3% in the first quarter of 2018. Gross profit margins were lower primarily due to higher initial costs related to new revenue including scaling of $60 million in ACV during the first quarter and lower revenue in our legal segment. We expect gross margins to improve in the future, as revenue scale to steady state and the conversion of our savings initiatives. SG&A for the quarter totaled $49.9 million and it was 12.3% of revenue compared to $11.6 of revenue in the first quarter of 2018. The increase in S&GA is driven by our continued investment in our customer facing organizations as well as higher costs associated with being a public company, including higher stock compensation related expenses. Our adjusted EBITDA for the quarter totaled $74.1 million, an increase of 6.5% and a margin in the first quarter was 18.3%, an increase from 17.7% in the first quarter of 2018. The improvement in adjusted EBITDA margins was mainly driven by revenue growth and by continued realizations of savings flow through, but it was partially offset by investments the company made for growth. I want to discuss in greater detail the differences between EBITDA and adjusted EBITDA. The primary variance between the two are optimization and restructuring charges. This adjustment relates to investments we have made to achieve cost savings and a majority related to headcount. During the first quarter, optimization and restructuring expenses totaled $25.8 million. This increase over Q1 of 2018, as we are incurring additional upfront costs for a few large projects. We expect this trend to continue in 2019, but decline in year later quarters. Our 10-Q and press release present our cash flows and balance sheet. Liquidity at the end of the first quarter was $57.9 million and total net debt was $1.459 billion. Cash flow from operations in the first quarter decreased significantly. This was due to approximately $20 million in working capital usage from an acceleration in our initial costs related to ramp of new revenue. We have added approximately 900 employees and as a result, payroll costs are paid biweekly with receivable collections following between 60 and 65 days. This is why we saw a drag in our AR-related growth. In addition, working capital was negatively impacted by approximately $25 million due to the timing of interest payments. Our $50 million interest payments are made every January and July. CapEx for the quarter was $13 million, or 3.2% of revenue. This is slightly higher primarily due to the ramp of the new revenue I discussed earlier. We still feel comfortable with FX being in the 2% to 2.5% percent of revenue range, unless we have similar new big contract ramps in the remainder of the year. At March 31, 2019, our NOL balance total of approximately $260.6, which is available to offset future cash taxes. Our buyback program on stock remains in effect though we did not purchase any additional shares in the first quarter of 2019. Although the settlement of some shares purchased in Q4 2018 took place in the first week of January. With respect to our current business outlook, we are not making any changes to our full year 2019 guidance. In Q2 of 2019, we expect revenue to be similar to Q1 and improved materially in the third and fourth quarter, based on our strong pipeline, which is in late stages. In closing, we have a solid start to 2019. We are pleased with our results, as we work to drive revenue and EBITDA growth going forward. That concludes our formal comments. Operator, with that, please open the queue for questions.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] Your first question today comes from Dan Dolev from Nomura. Please go ahead.
Dan Dolev: Hey guys. Thanks for taking my question. Appreciate it.
Ron Cogburn: Hey Dan.
Dan Dolev: Hey, guys. I got actually three quick questions. I hope that's OK. Can you give us the impact of M&A, the exact impact of M&A in the quarter.
Ron Cogburn: So, thanks for the question. With respect to the impact of M&A, you look at our ITPS, if you exclude the contracts -- low margin contracts we exited during the year offset by the acquisition we did in the spring, our organic growth rate was approximately 3%.
Dan Dolev: Right. But yeah that's excluding the margin that the low margin contract, right, that you—
Jim Reynolds: That is correct.
Dan Dolev: Got it. And Asterion was at, what, like $16 million? Or less than or more than that in terms of contribution?
Jim Reynolds: No, we didn't give out specific numbers for Asterion, but it was approximately in that range.
Dan Dolev: Got it. And I mean If you look at sort of the three segments, I feel like both ITPS and Healthcare sort of fared roughly in line with our expectations. If you like the legal segment was somewhat below we were expecting some positive growth this quarter. But what was driving that and when can we expect positive growth from that segment? Thank you.
Ron Cogburn: Thanks. Within the legal state our segment, the revenue is really project-based and lumpy. We had some great cases in the end of in 2018 that finished up mid-year related to notifications and we just haven't seen the scale. We still have a large number of cases hitting singles and doubles in revenue, but there have not been the large cases we've seen historically. So, while we're little disappointed, we think that given a pipeline there's opportunity for growth in the second half of the year.
Dan Dolev: Great. I appreciate it. Thanks guys.
Ron Cogburn: Thanks Dan.
Operator: Thank you. Your next question comes from Joseph Foresi with Cantor Fitzgerald. Please go ahead.
Unidentified Analyst: Hi, this is Drew Kootman on for Joe. Thanks for taking our call. You guys mentioned the pipeline remains strong. I was just curious are you seeing an increase in the pipeline due to digital now? Or maybe you could just touch on how digital now is sort of changing the pipeline or what you're seeing through that?
Ron Cogburn: Look, Drew, that's the right question. And then is the conclusion that I think I mentioned last quarter the growth in our pipeline year-over-year is almost doubled what we had seen previously for all opportunities related to Digital Now. And as we move forward, we're beginning to see a pickup in the interest in Smart Office. And so all of these have come together from an enterprise level with the pursuit that we've created with our strategic dealing teams now, I think that's part of the other reason we've seen our pipeline grow. So, we're very excited to see how that plays out because we believe we have a higher opportunity or a better opportunity for a higher converting rate of that pipeline.
Unidentified Analyst: Okay. And then, I saw a little slide in Excel regarding, the synergies, but I was wondering could you update us on some of the synergies and why you expect moving forward and the time frame around that?
Ron Cogburn: Yeah. So, within our factory, we layout the savings. Now there are approximately $56.4 million primarily in headcount. When we look at 2019 now we feel very good that a majority of these will be taken in our results in this year and we'll have them wrap up. But we are going to be cautious because it does cost cash to implement some of these savings. So, we're going to be very prudent.
Unidentified Analyst: Okay. And then one more if I could just sneak it in on healthcare. It looks like healthcare actually had decent growth especially compared to last year. I wonder if you could just touch on if you expect that moving forward or what your thoughts are around the healthcare segment? Thank you.
Ron Cogburn: Sure. With healthcare, we're excited we closed on a small healthcare asset at the end of the year. It gave us a great partnership moving forward that we will continue to leverage. So, we feel really positive about where we are on a go forward basis in healthcare.
Unidentified Analyst:
Operator: Your next question comes from Brian Essex with Morgan Stanley. Please go ahead.
Brian Essex: Hi, good afternoon. Thank you for taking the question. I was wondering maybe you could talk a little bit about some of the relationships with existing customers I know recently you guys had in particular a pretty large lockbox win with the big bank. How much new business are you able to penetrate existing customers within? And how much the pipeline does that account for within your visibility for the year?
Ron Cogburn: So, Brian this is Ron. I mean it's a good question and let me help clarify that the conversation around that big bank. So, this is our Digital Now strategy and so there's multiple lines of service. Certainly there is remittance processing involved with this. But the longer this customer has our technology platforms in place, the more services will begin to rollout through that customer. So, when you think about how we've grown historically it has been through our existing customer bank and it has to do with the ability to land and expand. So, this bank was a great customer example. They had been a customer for almost two years. We did a handful of services for them that gave us the opportunity because they trusted us to be able to go in and present a more complex and more integrated type of offering that would reach throughout your entire organization. So, as we sit here today I think we mentioned last time, they liked it so much, they increased the term of the contract and as well as the quantum. So, when we look at our pipeline, which is the question, we see lots of opportunities like this that are similar, where we've had a great relationship with large existing customer they have now allowed us to come in and propose to them a more integrated solution it uses all of the layers of our technology we color their seven layer stack. I think yes, to the seventh layer they're going to be fully integrated with us and our technology and our services and our solutions. So, that's really sort of a foundational strategy we're using.
Brian Essex: Okay. And then maybe just a little bit on the seasonality I mean I think you pointed to a little bit of softness in the quarter with a better looking kind of pipeline into the end of the year. But I think 3Q I think from prior conversations tends to be a seasonally softer quarter, do you think some of this volumes kind of pushes into the back half of the year? And I guess how do we get comfortable or how do we have confidence in that, that's actually going to pull through?
Ron Cogburn: Good question. This year we've closed $116.5 million in ACV. We've ramped up $60 million by the end of Q1. And although there's some softness we see in Q3 typically due to Europe a lot of the revenue is more back-end loaded, but I'm pretty confident in the back half of the year seeing material growth.
Brian Essex: Okay. And then maybe just a quick one for Jim. I mean you mentioned headcount related drag on working capital I mean how do I get a sense of -- I see it on the cash flow statement not really apparent on the balance sheet? How do I wrap my heads around -- my head around it looks like about $15 million I guess lower compared to last year on the payables and accrued liabilities. Where does that kind of flow through and how do we think about that kind of reversing out in the remainder of the year?
Jim Reynolds: Sure. We ramped up these large projects at the beginning of this quarter toward the mid, so we did have a fair amount of AR drive with these larger contracts. Obviously we're paying payroll, which impacts the overall cash balance, but this starts to reverse. Typically our working capital comes back in the second quarter. We do that and we have a little bit of a drag in the third quarter related to our bond payment or interest payment and then it comes back at the back end of the year.
Brian Essex: Right. Okay, that's Sure. We ramped up these large projects at the beginning of this quarter toward the mid, so we did have a fair amount of AR drive with these larger contracts. Obviously we're paying payroll, which impacts the overall cash balance, but this starts to reverse. Typically our working capital comes back in the second quarter. We do that and we have a little bit of a drag in the third quarter related to our bond payment or interest payment and then it comes back at the back end of the year. helpful. Thank you very much.
Jim Reynolds: Thank you.
Operator: Thank you. [Operator Instructions] The next question comes from David Phipps with Citigroup. Please go ahead.
David Phipps: Hi, thanks for taking my question. So, when we look at the sequential progress will be about flat quarter-to-quarter. And how would you expect some of the different businesses to perform? We expect is there anything big or small change from the litigation side of the business, or is it things kind of flattening out in general over the two -- over the three sectors?
Jim Reynolds: So, we don't give specific guidance by segment, but if you look historically, we've seen growth within our ITPS and then we feel really good about how our position within healthcare this year. Within our legal it gets a little lumpy from quarter-to-quarter, we've kind of been ramping down slightly from a revenue perspective. We think this is at least the baseline and hope to grow from here as the pipeline converts within our legal group.
David Phipps: Okay. And then if we look at some of the margin progression, you've made some nice margin progression in the past five quarters. And would you expect to continue to make margin progression in the June quarter, even though revenues will be roughly flat?
Jim Reynolds: So, we don't give out specific quarterly guidance, but what I would tell you is, as the saving initiatives flow through the P&L, a majority of those run through our cost of goods sold, as we put our technology end and take out people and headcount, you'll start to see the gross margin turn, which we expect.
David Phipps: Okay. Because you added about 1,000 employees during the quarter, so that would suggest that you're set up for new business, or that you're going to have a little bit of extra cost that maybe you can talk through that a little bit, because if we're flat, but we have more employees it seems like that you are going to have a little bit of margin pressure unless you have some cost savings to offset that?
Jim Reynolds: Yeah absolutely. We've added like Ron said about 929 employees, which are almost all in the production in the cost area. And as we ramp these contracts, our revenue hit steady state and we put in our technology and start to see the benefit in margin expansion. So, we're well under way with respect to these contracts.
David Phipps: Okay. And then finally on the M&A outlook, how's the pipeline look for Exela right now?
Jim Reynolds: So, as we said at the end of Q4 as part of our guidance, we're not anticipating any acquisitions. There's always a pipeline for them, but we're really going to focus this year on deleveraging.
David Phipps: Okay. All right. Those are my questions. Thank you.
Jim Reynolds: Thank you.
Operator: Thank you. Your next question comes from Eric Barrasso with Jefferies. Please go ahead.
Unidentified Analyst: This is actually Todd Morgan. Thanks for the question and the call. Two things. Number one, people talked a little bit about the legal division and you've mentioned that it's lumpy. How kind of integrated is that business in with the rest of the company? How important is it to the overall kind of growth story of the company? Are there other options you might consider, again as a kind of a first question. And the second question. I was hoping you could talk a little bit more about restructuring and optimization costs that you have here. I mean they've been persistently high. I guess you've defined those as being the salary and benefits for folks that are -- that's part of that optimization process. But is there any -- can you give us any kind of understanding of what kinds of people those are? What those kinds of expenses are, and how those might trend as we look forward? Thanks.
Ron Cogburn: Sure. Good questions. With respect to our legal segment, we've gone and we view significant opportunity, when we brought in enterprise solutions into the mix. They have a fair amount of business with legal, law firms et cetera that are being included within our ITPS. So, we see an opportunity to expand our Legal Services with that relationship, although it's not completely integrated from a facility location that still somewhat separate. We view it as there's a significant revenue synergy or opportunity by leveraging those relationships.
Unidentified Analyst: That makes sense.
Ron Cogburn: In addition, what I will tell you -- in addition, we hired new individual that responsible to help us drive our legal business and are excited about having him onboard. I think the second question related to the optimization and restructuring. Optimization and restructuring charges are primarily headcount related charges. As we transition for a more manage analog type solution to a digital solution, we need time and we have people doing non -- probably not as productive services and as you put in the technology, you start to have the ability to take out headcount. In addition in a lot of these clients there's third party technology that being used in part of Exela suite and putting in our technology we're able to reduce the overall cost to perform that services. So, if you look at optimization we feel good, as we have some of these large projects, it'll take us a little time to work through. But we expect optimization to trend down over the quarters.
Unidentified Analyst: Okay. That's helpful. Thank you again.
Operator: Thank you. We have one last question from Matthew [indiscernible] with Matrix Financial. Please go ahead. Sorry, I have been advised, this concludes our question-and-answer session. I would like to turn the conference back over to Ron Cogburn for any closing remarks.
Ron Cogburn: Yeah, thanks everyone for joining today. We look forward to speaking with you again over the next quarter and we always extend an invitation to any of the shareholders and analysts to come by and visit with us at our technology centers, our innovation centers. They are in the New York area, Dallas, London, Amsterdam and of course, in Los Angeles. Thanks everyone and goodbye
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.